Operator: Good day, and thank you for standing by. Welcome to the Q2 2025 Unitil Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Christopher Goulding. Vice President of Finance and Regulatory. Please go ahead.
Christopher Goulding: Good afternoon, and thank you for joining us to discuss Unitil Corporation's Second Quarter 2025 financial results. Speaking on the call today will be Tom Meissner, Chairman and Chief Executive Officer; and Dan Hurstak, Senior Vice President, Chief Financial Officer and Treasurer. Also with us today are Bob Hevert, President and Chief Administrative Officer; and Todd Diggins, Chief Accounting Officer and Controller. We will discuss financial and other information on this call. As we mentioned in the press release announcing today's call, we have posted information including a presentation to the Investors section of our website at unitil.com. We will refer to that information during this call. Moving to Slide 2. The comments made today about future operating results or events are forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements inherently involve risks and uncertainties that can cause actual results to differ materially from those predicted. Statements made on this call should be considered together with cautionary statements and other information contained in our most recent annual report on Form 10-K and other documents we have filed with or furnished to the Securities and Exchange Commission. Forward-looking statements speak only as of today, and we assume no obligation to update them. This presentation contains non-GAAP financial measures. The accompanying supplemental information more fully describes these non-GAAP financial measures and includes a reconciliation to the nearest GAAP financial measures. The company believes these non-GAAP financial measures are useful in evaluating its performance. With that, I'll now turn the call over to Chairman and CEO, Tom Meissner.
Thomas P. Meissner: Great. Thank you, Chris, and good afternoon, everyone. Thank you for joining us today. I'm going to begin on Slide 3, where today, we announced adjusted net income of $4.7 million and adjusted earnings of $0.29 per share for the second quarter of 2025. Those adjusted amounts, which exclude acquisition-related costs, represent an increase of $0.4 million or $0.02 per share compared to the second quarter of 2024. Through the first 6 months of the year, adjusted net income was $33.1 million or $2.03 per share, an increase of $1.6 million or $0.07 per share compared to the same period of the prior year. During the call today, we will discuss a number of strategic updates, including the ongoing UES rate case and the regulatory review of the Maine natural gas and Aquarion acquisitions, which are expected to close by the end of 2025. We will also provide an overview of recently passed legislation in Maine, protecting fuel choice. Looking ahead, we see a strong financial outlook and today, affirm -- reaffirm our long-term guidance for earnings growth, dividend growth and rate base growth. Moving now to Slide 4, the regulatory reviews of the Maine natural gas and Aquarion Water transactions are progressing on schedule. Starting with the regulatory review of Maine Natural Gas, the Office of the Public Advocate, which is the only intervener in the case recently filed testimony that did not object to the acquisition. Technical conferences are planned for August and September with the current decision deadline set for November 5. You may recall that in the case of Bangor Natural Gas, we were able to reach a settlement with all parties. We will actively pursue a settlement in this case and could potentially receive a decision ahead of the currently scheduled deadline. Moving to the Aquarion Water Companies, we are currently working through approval dockets in Massachusetts, New Hampshire and Maine. The joint petition filed with the Massachusetts Department of Public Utilities is progressing through information requests and we have requested that the department issued a decision on or before November 1. In New Hampshire, a hearing is scheduled for early September, and we have requested a decision by the same date as the Massachusetts docket. The proceeding in Maine has only one intervener, the Office of the Public Advocate, which declined to file testimony. The current procedural schedule for that docket has a deadline of December 15 for a decision from the Maine PUC. Given the progress of these dockets, we remain optimistic that the Aquarion acquisition will close by the end of 2025. Turning to Slide 5. As I mentioned during our previous call, we expect the acquisitions to accelerate rate base growth to approximately 10% annually through 2029, supporting earnings growth near the top end of our guidance range. Collectively, the acquisitions are expected to be earnings neutral in the short term but will be earnings accretive over the long run after new distribution rates take effect. Moving to Slide 6. I'd like to briefly touch on the policy and legislative backdrop for natural gas in Maine, which recently became the 27th state to pass fuel choice legislation. This legislation preserves the rights of residential consumers and businesses to choose the energy system and fuel type they prefer, including natural gas. Natural gas remains a clean, reliable and affordable option in the cold weather states we serve, and we are pleased the legislators recognize the value that natural gas provides to customers. New Hampshire passed similar legislation in 2021. And together, Maine and New Hampshire represent about 85% of our natural gas customers. As both states rely heavily on fuel oil for home heating, we believe natural gas will continue to play a key role in lowering energy costs for consumers and reducing home heating fuel emissions. I also wanted to mention that yesterday, Lee Zeldin, Administrator of the Environmental Protection Agency visited New Hampshire and met with Governor Kelly Ayotte and other state officials. As part of that meeting, administrator Zeldin talked about one of the top priorities of the Trump administration, increasing energy supply to the Northeast. During that meeting, Governor Ayotte announced her support for a revival of the Constitution Pipeline as an option to reduce energy supply prices in the Northeast, noting that we need more natural gas here in New Hampshire. We see increasing support for natural gas here in New England as an option to reduce energy supply volatility and improve affordability for customers. Turning now to Slide 7. I'd like to highlight a couple of significant milestones we reached in the second quarter, beginning with our completion of the utility scale solar project in Kingston, New Hampshire. This facility is a first-of-its-kind project for the company and the state of New Hampshire and represents an investment that will benefit our customers and communities for years to come. We made significant progress since breaking ground a little over a year ago and are very proud of what has been accomplished. As a reminder, this facility will be included in rate base, and we are currently seeking cost recovery through our UES based rate case. Another notable project is the replacement of our advanced metering infrastructure or AMI system, which is progressing as planned. This system incorporates state-of-the-art smart meters that can provide near real-time information to customers, enabling improved energy decision-making and grid optimization. We've begun the rollout in our Massachusetts service area and approximately 60% of the meters have been replaced to date. We expect to complete our meter replacements in Massachusetts by the end of the year and in 2026, we will begin the replacement of our AMI system in New Hampshire. The meter upgrades in Massachusetts and New Hampshire will require approximately $40 million of capital investment and as a reminder, the Massachusetts portion of this investment is eligible for accelerated cost recovery. With that, I'll now pass it over to Dan, who will provide greater detail on our second quarter financial results. Dan?
Daniel J. Hurstak: Thank you, Tom. Good afternoon, everyone. I'll begin on Slide 8. As Tom mentioned, today, we announced second quarter adjusted net income of $4.7 million and adjusted earnings per share of $0.29 representing an increase of $0.4 million or $0.02 per share compared to the same period in the prior year. For the first 6 months of the year, adjusted net income was $33.1 million and adjusted earnings per share were $2.03, representing an increase of $1.6 million or $0.07 per share compared to the corresponding period in 2024. Moving to Slide 9. I will discuss our electric adjusted gross margin. For the 6 months ended June 30, 2025, electric adjusted gross margin was $53.3 million an increase of $1.3 million or 2.5% compared to the same period in 2024. The increase in electric adjusted gross margin reflects higher distribution rates and customer growth. The company added approximately 730 electric customers, 110 of which are new C&I customers compared to the same period in 2024. As noted during prior calls, electric distribution revenues are substantially decoupled, which eliminates the dependency of distribution revenue on the volume of electricity sales. Turning to Slide 10, I will discuss our gas adjusted gross margin. For the 6 months ended June 30, 2025, gas adjusted gross margin was $108.1 million, an increase of $15.8 million or approximately 17.1% compared to the same period in 2024. The increase in gas adjusted gross margin reflects higher rates in customer growth in 2025 and the effects of a return to normal winter weather. The company added approximately 9,360 new gas customers compared to the same period in 2024, including 8,800 customers from the acquisition of Bangor Natural Gas. As of June 30, 2025, approximately 55% of the company's gas customers are under decoupled rates. When excluding Bangor Natural Gas, gas adjusted gross margin was $102.2 million, an increase of $9.9 million or 10.7% compared to the corresponding period in 2024. This increase in gas adjusted gross margin, excluding Bangor, is in large part due to the successful rate case outcomes for Fitchburg Gas & Electric in Massachusetts as well as Granite State Gas, our FERC-regulated pipeline. Moving to Slide 11, we provide an earnings bridge comparing the results of the first 6 months of 2025 to the same period in 2024. As I just discussed, adjusted gross margin for the first 6 months of 2025 increased by $17.1 million, primarily driven by higher distribution rates, customer growth and colder winter weather. Bangor Natural Gas accounted for $5.9 million of total gas adjusted gross margin in 2025. Operation and maintenance expenses increased $7.1 million compared to the same period in 2024. This increase in operation and maintenance expenses included $1.7 million related to Bangor Natural Gas operating expenses and $2.2 million of transaction costs. Transaction costs are excluded from adjusted net income and adjusted earnings per share. Excluding Bangor Natural Gas and transaction costs, O&M expenses increased to $3.2 million, reflecting higher utility operating costs, higher labor costs and higher professional fees. In addition, certain transmission expenses were higher in 2025 based upon approved formula rates in our Fitchburg service area. Depreciation and amortization expense increased by $7.4 million, reflecting higher depreciation rates from recent base rate cases, additional depreciation associated with high levels of utility plant and service, and higher amortization of recoverable storm costs and other deferred costs. Depreciation and amortization expense for Bangor Natural Gas was $1.3 million. Taxes, other income taxes decreased $0.3 million, primarily due to lower excise taxes. Interest expense increased $3.7 million reflecting higher levels of long- term debt and higher interest expense on regulatory liabilities, partially offset by lower interest expense on short-term borrowings. Other expense decreased by $1 million reflecting lower retirement benefit costs. Income taxes increased $0.2 million, reflecting higher pretax earnings. And lastly, the after-tax transaction costs of $1.6 million are added back to GAAP net income to arrive at adjusted net income of $33.1 million for the 6 months ended June 30, 2025. We believe excluding transaction costs when reviewing earnings provides a better representation of the company's baseline financial performance. Turning to Slide 12. As discussed on the first quarter earnings call, on May 2, we filed a base rate case for Unitil Energy Systems, our electric distribution company in New Hampshire. The proposed permanent rate increase is $18.5 million. Our requested temporary rate increase of $7.8 million, which was approved as filed, took effect on July 1. In New Hampshire, permanent rate case awards are reconciled back to the effective date of the temporary rate award and are subject to recoupment or refund. The pro forma rate base included in this filing is $289 million and includes the company's Kingston Solar facility that was placed into service in June. Similar to previous New Hampshire rate cases, we have proposed a 2-year rate adjustment plan to provide for accelerated cost recovery of 2025 and 2026 capital investments. Technical sessions and Discovery will be ongoing through the end of this year, and the deadline for intervenor testimony is set for December 11. Settlement discussions are scheduled for the first quarter of next year with permanent rates expected to take effect in the second quarter of next year. Moving to Slide 13. Our balance sheet strength remains a top priority and we intend to continue managing our financial profile in a credit supportive manner. We have initiated a $50 million at-the-market equity program and recently issued $32 million in senior unsecured notes for Bangor Natural Gas. The proceeds of this debt issuance were used to recapitalize Bangor Natural Gas in a manner similar to our other operating subsidiaries and with a capital structure that will support Bangor Natural Gas' credit metrics. Our recent Moody's report indicated that even in a scenario where both pending acquisitions were funded entirely with debt, the company's credit metrics would remain above the established downgrade threshold. We believe this comment speaks to the strength of our balance sheet, our focus on maintaining a strong credit profile and our ability to generate low-risk cash flows. While committed debt financing is in place for the pending transactions, we intend to fund them in a credit-supportive manner, and ultimately capitalize any acquired company in a manner similar to our existing regulated subsidiaries. Turning to Slide 14. As noted during our previous earnings call, our current 5-year capital budget now totals approximately $1 billion and is 46% higher than the prior 5 years. This capital budget represents our investment plan for existing operations and does not yet incorporate investment growth from the acquisition of Bangor Natural Gas or other pending acquisitions. We expect the acquisition of Bangor Natural Gas and the recently announced transactions involving Maine natural gas and the Aquarion Companies will result in capital spending above this plan over the next 5 years. Moving to Slide 15. We are reaffirming our 2025 earnings guidance range of $3.01 to $3.17 per share with a midpoint of $3.09 per share on an adjusted earnings basis. We have updated our quarterly earnings distribution chart to reflect our expectation of a slight net loss in the third quarter, but as I just mentioned, we expect our full year 2025 results to be in line with our guidance range and midpoint. I'll now turn the call back over to Tom.
Thomas P. Meissner: Great. Thank you, Dan. Ending now on Slide 16, we had a strong first half of the year and are pleased with our financial and operating results. We are executing across all segments of our business, including the integration of Bangor Natural gas and are planning for the integration of Maine Natural Gas in the Aquarion Massachusetts and New Hampshire operations. We remain confident in our long-term growth and earnings guidance and we are well positioned to provide strong shareholder returns through a reliable, regulated business model. With that, I'll pass the call back to Chris.
Christopher Goulding: Thanks, Tom. That wraps up the prepared material for this call. Thank you for attending. I'll now turn the call over to the operator who will coordinate the questions.
Operator: [Operator Instructions] Our first question comes from Matvey Tayts with Freedom Broker.
Matvey Tayts: Congratulations with the strong adjusted EPS growth. So my question is about your Slide 15. So I see that in Q3, you expect like slight negative results on EPS and the question is, will it affect in a way your dividend approach for the third quarter and how you go along with this potential negative result in the third quarter 2025?
Daniel J. Hurstak: So no, the answer to the question is no. The earnings for the full year are in line with where we thought they would be. And the slight change in the quarterly distribution for the second half of the year will not have an effect on the company's approach to 2025 dividends.
Operator: [Operator Instructions] I'm showing no further questions at this time. This concludes today's conference call. Thank you for participating. You may now disconnect.